Operator: Good afternoon, ladies and gentlemen and welcome to today’s Fiat 2010 Third Quarter Results Conference Call. For your information, today’s conference is being recorded. At this time I would like to turn the call to Marco Auriemma, Head of Fiat Investor Relations. Mr. Auriemma, please go ahead sir.
Marco Auriemma:
 : Before moving ahead, let me just remind you that any forward-looking statement we might make during today’s call are subject to the risk and uncertainties mentioned in the Safe Harbor statement included in the presentation material. So now I will turn the call over to Mr. Sergio Marchionne.
Sergio Marchionne: Thank you Marco. Good afternoon. I just would like to apologize upfront. I have a bad cold that I picked up in China, so my voice is going to may crack up during this call. So I do, I promise of be discipline and get of the microphone. Fundamentally, we’ve had an outstanding third quarter, as I’ve seen from some of the remarks that have come out from the analyst after we released the numbers early this morning. Most of you were surprised by the fact with the shift in performance across the group after we’ve been able to raise guidance significant amount as we have is an indication of our assessment of what we consider to be a permanent change in trading conditions in a market in which we function. I know that there are some concerns out there about the performance of the car business especially in Western Europe and I think we’ll deal with this when we get to it. But fundamentally we’re happy, I think the group has performed well and certainly it has set the stage for the proper completion of the demerger by the end of this year as we’ve previously announced in April. In terms of the numbers and I’m on page two, and I’m going to be speaking about some of these numbers, but not all. Obviously group revenues were up significantly over the prior year. A large portion of this was driven by exchange mainly on the car side in CNH with Latin America probably the most significant contributor in the top line growth. The automobile side as expected was only up 1.3% to EUR7.1 billion. And this is due to the fact that FGA, the car side, our side of the luxury brands was effectively flat year-over-year with volumes being down in Europe offset by a pickup in both light commercial vehicles in our Latin American activities. So luxury brands continue to perform well both Ferrari and Maserati and certainly in line with market which is fundamentally recovering on a global scale. CNH was and always sort of a surprise. It was also up 32% with the AG business performing exceptionally strong during the quarter. And we have the second consecutive recovery in terms of operating performance for construction equipment which has been in positive territory now at trading profit level for two quarters in a row, I mean most of you have been able to see the Caterpillar numbers that were just released a few hours ago and you’ve seen that this is – that CNH is not the only beneficiary over recovery in the market. I think it is something which is aligned most of the construction equipment manufacturers to benefit across the world. Iveco was up 15% or about EUR2 billion with activity up across all of its regions that continued strong performance in Latin America. And obviously the components and the production systems businesses did well in tandem with both the increased activity at Fiat and the increased activity of our – of the other customers, our competitors in lot of the market segments in which we’re present. Trading profit was nearly double and nearly EUR600 million for the quarter. The auto side was in at EUR210 million. The only one that was down quarter-over-quarter was the Fiat Group Automobiles which was down from EUR155 to EUR130 and we’ll talk about this in a moment. But obviously the luxury brands have performed well especially Ferrari which keeps on moving up its margin performances now 17% and getting and getting closer to the 18% mark, that has set itself as a target. CNH obviously is EUR215 million benefiting from the substantial volume uplift that it’s received in AG, especially in the heavy equipment side and from the recovery of the construction equipment sector. Iveco again performed well at EUR80 million from incredibly low levels in 2009, but we do see a steady performance and an improvement in the order book which we’ll talk about in a few minutes. Components and again production systems up EUR102 million with FPT, which is single largest contributor to that number, having probably the best third quarter in its history, I mean as short lived as that history is but it’s certainly little after four years that it had the best third quarter in the last four years. Group trading margins are now at 4.3%, nearly double what it were at Q3 of 2009. As importantly we posted a net profit of EUR190 million against the EUR25 million number in 2009. Moving on to page three, I mean obviously we’ve continued with this sort of rigorous discipline of cost and that is going to, unfortunately I think it’s going to represent the way in which we run these business going forward. I think that there is a maniacal attention in this cost structure, mainly because of the period that we lived through in 2009 which has been somewhat painful and so I think we’ve learned how to be a lot more careful in terms of expanding ourselves in terms of certainly long to medium term commitments on expenditures that cannot be shut off. On the net industrial side, we’re below EUR4 billion now. This is unusual for Fiat, because in the third quarter, because of the summer shutdown mainly in the European site, we ended up absorbing a substantial amount of cash, in fact that we were able to hold it a EUR4 billion and below, I think the number is EUR39.66 million for the quarter. It’s a good indication of sound cash management practices. We end up having almost EUR13 billion worth of cash, that’s after we repaid $0.5 billion bond that is CNH. And consistent with what we told you April and following the approval that our shareholders of the demerger plan on September, the 16th, we are continuing to execute on the demerger plan. We have – there are no obstacles that we can see today into the completion of this project and on January, the 3rd, we should have two separately listed stocks, one representing Fiat Industrial and the other one fundamentally representing the car side. We’ve also taken the opportunity as I mentioned to you on the call on Q2 to upgrade guidance for the year. We’re not forecasting revenues in a minimal of EUR55 billion, our trading profit of EUR2 billion as the minimum. And net income number as a minimal was about $400 and that level is in total to be less than EUR4 billion which is an excess – which is a substantial reduction from the target that we have set for ourselves, or the minimum of EUR5 billion at the end of 2010. We’ll just move on to slide number four which deals with the car side, actually with the composition of both revenue and trading profit. There is not much I can add, I’ve mentioned most to these items in my discussion. If there is any issue that needs to be addressed then we’ll spend some time during this call dealing with it, because the performance of the Western European car business and how we see the closing of 2010 and what our forecast is for 2011. Again, just as a general comment, we’re not going to give you an indication of 2011. I think our views have not changed since April in terms of what 2011 will look like, but we’ll give you an updated view of those numbers of the expected performance of the two businesses when we get on the call in January of 2011. We want to move on to slide number five, again nothing exceptional in the completion of the P&L from trading profit down to net result. The financial charges line obviously includes the gain on the equity swap. Somebody had asked the question about what happens to the equity swap, I mean it will stay with Fiat SpA, but whatever volatility is associated with that position will continue until the position is unwound. There is roughly a EUR100 million in the quarter, I’m looking at Mr. Rossotto to give me a confirmation. Roughly a EUR100 million of what we call the cost of carrier, the liquidity which is now as I said about EUR15 billion. And then suddenly we considered – we consider it necessary given the demerger activities that we’re going on and given the fact that until that process was completed, we wanted to make sure we had adequate cash reserves to find a deal with our obligations going forward, I mean this issue was reviewed with the Board this morning and I think Mr. Rossotto generously volunteered information that we have enough liquidity amount to repay all maturities up to 2012. So it gives us the level of comfort that is required to try and move the industrial machine on for the next two or three years. On page six which deals with the cash flow statement. There were some questions that were raised in comments after the release of the earnings on the size of the capital expenditure profile, I mean I think that bullet makes clear reference that a fact that we think we spent about 60% of the early tab. The number is expected to be slightly below EUR4 billion around EUR3.9 billion for the year, I mean that’s fair assessment whether we’re able to actually book and spend the remainder over the next 90 days is really something that we’re looking at. It may come in slightly below the 3.9 number but it’s not far off that target. Notwithstanding this I think we’ve had, we’ve had a good operating performance and we’ve had – the working capital side which is usually the bad side of the coin in Q3 has had the limited impact on the overall cash generation of the business and we feel comfortable that EUR4 billion is a number that can be maintained until the end of this year, just going to form the basis for the split between Industrial and Fiat. I think there is a slide in here which we might as well deal with now that’s suggested the actual split between the two businesses may not be totally in line with the 50-50 allocation and it would be more like a 60 in favor of Industrial and 40 in favor of Fiat SpA. That’s the way in which the numbers are backing up right now. So obviously we’ll not know this until the process is completed at the end of December. Page eight which deals with our industry outlook on cars. We have revised upward if that’s the right term, the Western European expected performance in 2010. We were a lot more negative in terms of absolute volumes year-over-year. That number is now expected to be above 7% down against 2009. Obviously, the single largest culprit of that decline is Italy which is the one that it was the most heavily influenced in terms of eco-incentives. Offsetting that is a strong performance in Brazil in terms of volumes and obviously the strengthening of the light commercial vehicle business, which is not only a Western European issue but is also having a significant impact in terms of Latin America in production and volumes. Total expected sales for the year will be an excess of two million cars, our view was that we were going to be below that number, certainly at the end of Q2. We have revised – we have revised the number, I think the two million is an achievable number, but obviously it is based on a significantly declining Western European market which in our view will continue well into the first quarter of 2011. If we can just deal with the issue of inventories and whether we think we’re managing the distribution channels properly. Between dealer inventory and company inventory, we’ve got less than two months’ worth of inventory on the car side that’s a slight increase against Q2 positions. And certainly it’s well below the historical norm. We have been as disciplined as we could possibly be in terms of matching production demand. We do not have any obsolescence issues on the car side to speak of and I think we will continue to manage this by invoking temporary shutdowns especially on the Italian car side to make sure that we don’t create a distribution issue going forward. The light commercial vehicle is recovering well. As you can see, we have been able to hold position in Italy in a market which is fundamentally stable, but it’s providing significant recovery both in Germany and the rest of Europe. Latin America continues to be the star performer, and has achieved again an increase of market share in the third quarter of 2010. It is expected to continue at those levels for the fourth quarter of this year. And when you look at the overall FGA business, the car side all of the profit that we have – that were registered in the quarter came out of Brazil and the Western European side now is in a loss position. This is something which has been, which was predictable given the level of activity of industrial activity that’s going on in the European side, it is an issue that will continue to plague us certainly in the fourth quarter of 2010 and in all likelihood for a portion of the first quarter of 2011. If you move on to slide number nine, it’s sort of a comfort chart, I mean we use it as a blanket that fundamentally we have had an opportunity to improve market share in a number of European countries, these obviously because of the size and because of the relevance of those markets that FGA have not had a significant shift in overall volumes. The big problem for us has been the performance in the Italian market in which we’ve gone down 3.5%. The chart clearly indicates that that drop is attributable to the lack of demand of CNG and LPG powered vehicles which were heavily incentivized during 2009 and which have gone missing in 2010 and we think that as I mentioned, I’ve been public on this before I think the healthy thing to do to try and disengage from an incentivized system going forward. We have to pay the price for this non-renewal of the incentives at some point in time in the history of Fiat. And I think that given strength of the group today, it is as good a time as any to be able to live through detox process associated with two years of heavily incentivized sales. We are – and obviously because of the fact that our emphasis has always been historically in the A-B segments, the combination of that the lack of CNG and LPG related incentives had driven a drop in market share in Italy which is single largest contributor for European volumes. You can see that by brand actually, Alfa Romeo was up slightly and this is due to the introduction of Giulietta which was done in second quarter of this year. And I know that a lot of you guys have been speculating about what happens to Alfa, well Alfa is in the process of transition. If you would move onto slide number 10, you can see the second element of the product line of Alfa Romeo which started with the MiTo about two years ago which is now been augmented by what we considered to be the most technologically advanced mass volume car that we produce today which is the Giulietta. And has the architecture which most if not all of the C&D exposure of Chrysler and United States will be driven that architecture has been transferred. It is now being engineered and will be industrialized in 2011 with the introduction of the first C segment car for Dodge. And I think the important thing for us is that the expansion of the architecture to cover to C&D segments in the United States and the associated volumes with that build will allow Alfa to complete its product range and therefore become a fully-fledged brand which has been our ambition now for a number of years. We continued to work on emissions and consumption. We have again recognized as being the lowest CO2 emitter of European mass producers. And we have just launched the TwinAir, a two cylinder engine which will go into all, well probably most of the A segment product that Fiat is involved in the large transport of D segment. It is the greenest engine that we have produced so far as you can see from the chart, it has 92 grams of CO2. If it’s combined with a robotized transmission. It does provide a 30% reduction in equivalent power trains from a four cylinder. And we were delighted that we were able to do this. This is something that we’ve worked on for a number of years and it’s becoming – and it has become an industrial reality and it’s being pushed into the Fiat 500 as a first means of introduction. We’re having discussions in the US about making this engine now available for Chrysler in the introduction of the Fiat 500 in the North America market. And although they will not be significant volumes, but there would be certainly a recognition of the commitment that this group has made to maintaining a leadership role in terms of low CO2 emissions. Slide 11 which deals with the light commercial vehicles. As I said we’re quite satisfied with the performance of this part of the business. When you look at FGA in its totality, there are two strong points to support its performance. One is the light commercial vehicle side, not just in Europe but also in Latin America and obviously the Latin American passenger car business, with the black sheep of the family being the European passenger car side which continues to require a large amount of intervention on which I think our Fabrica Italia project was directed in terms of curing this anomalies and economic inefficiency. I’ll give you an update on where we are on that issue at the end of this presentation. We won van of the year with Doblò. I think we’re proud of that achievement, I think it’s a continuation of a ten year history of a product which has been incredibly successful and I think it will power and complement in the product range of the light commercial vehicle has through the Fiat brand and which has got now the most current, the most renewed, the most recently renewed product portfolio of any producer in the business. Slide number 12 deals with the agricultural equipment side. This is fundamentally a good slide, I think that our forecast for the full 2010 have been probably crafted on a conservative basis, I mean we’re assuming the combines will be flat year-over-year and that tractors will be up slightly. I think we have done well in all the regions in which we have been participating. Obviously the Western European side, which shows a significant decline both in tractors and combines in the third quarter and for the whole year, suggests that we are going to suffer through weak market conditions in this jurisdiction for perhaps a bit longer than 2010, the expectation though is that in 2011, it may be the Western Europe supported by strong commodity prices will probably rebound and joint the rest of the world in the AG recovery cycle. Slide number 13 which deals with construction equipment. Again significant recovery against 2009 volumes, 30% up on light equipment, 55% to 60% on the heavy side, but we’re talking about the recoveries of an incredibly low base. And so from a percentage point there is significant improvement starting in absolute unit volumes, we still have a long way to go. It will not be until 2014 that we’ll see similar volumes to what we saw in 2007 in this business. Having said this, all the restructuring actions that we’re undertaking starting in the second half of 2008, and throughout 2009 have begun to payoff. We’re actually making some money and generating some cash on these businesses on the construction equipment. It’s not been a significant amount in 2010 so far, at least non-operating profit basis, but we’ve been able to deal with inventory overhangs in an effective way. I think most of that process will be over by the end of this year. Slide 14 which deals with the new product introductions. Obviously we’re all diligently working and making sure that we are Tier IV emission compliant engines in our vehicles, most of that work will be completed by 2011. The other significant part is that we have carried out a substantial overhaul of our product portfolio in construction. In the Tractor Loader Backhoe which is in the slide is a very significant product introduction for the brand. It’s a first significant product renewal of this equipment in the last 50 years. And so I think it will be available for distribution in the fourth quarter of this year and we’re looking forward to a continued success of this vehicle, which has been at the heart of the Case brand now for the last x number of years. Iveco on slide number 15 continues to perform well. Latin America has got 50% in Brazil, Argentina is up 40%, Western Europe is up, as you can see from the slide in terms of light, medium and heavy, but we’re still below the 2007, 2008 average. The order book for this business is strong. We’re up 50% roughly that Q3 of this year compared to last year in total. And I think that we’re relatively satisfied with the progress that has been made. We remain a bit skeptical about the performance of the Italian business which obviously is the one that compared to the others has not performed as well. It has not performed as well. So in terms of industry expectations for 2010, we do expect an improvement over 2009. I’ll now – although the slide says that there were some uncertainties about Eastern Europe. I think that those numbers will actually come home but and certainly we’ve been overly conservative on the performance of Latin America in the fourth quarter. So I think we’ll do well. What the untold story about Iveco as on slide 16, I just came back from a review of our business operations of CNH, well actually of Iveco and FPT when I was in China last week. We have made significant progress in terms of positioning Iveco as being the largest foreign truck manufacturer in China. The numbers that I saw when I was there are incredibly encouraging in terms of performance. We do expect that our volumes will be up 30% versus 2009 and although the market is growing, we’re outpacing the growth for that market. I think the combination of the Iveco technology and the positioning of the brands that we inherited as a result of the joint venture are going to ensure that we remain market leader in China and that we build on that position going forward. The other significant parts of that joint venture is the ability to provide products for distribution for the rest of the network. Brazil is going to be the first recipient of that product offering by receiving a medium sized truck hopefully within 2011. Group purchasing on page 17 deals with the achievements to-date, we’re about almost EUR400 million in savings for the end of the third quarter. We expect the fourth quarter performance to be about flat as a result of certain raw material headwinds, whatever has been achieved has been achieved to-date. I think we will most significant improvement going forward. We’re now examining 2011 expectations, I think that we have targeted a number that EUR400 million for 2011, our best read of that number today is roughly half of that is going to be achievable. So going on to page 18, which deals with the outlook and the upgraded guidance, EUR55 billion in revenues for group. We do expect the CapEx program to pick up speed in the fourth quarter of this year and to hit close to the EUR3.9 billion mark for the year and obviously trading profit of EUR2 billion, net income above EUR400 million and net debts of about EUR4 billion or less. Slide 19 deals on a pro-forma basis with what the two entities that will be resulting for the demerger would have looked like in Q3, and certainly for the nine months of 2010. You can see clearly a couple of things, one that apart from the, our near equality of operating performance between these two businesses, it’s totally untrue from a margin basis, but more importantly what is phenomenally different between these two business is the involvement of capital in the running of these businesses. We’re talking about the Fiat business, the car side, burning up almost four times as much as cash in terms of capital in the first nine months with the industrial side. So I think it just reinforces our view that the demerger is based on sound strategic reason purely on an operating performance and that the level of strategic flexibility that will be available to these two businesses going forward has been significantly increased. It certainly will be so as of January 3rd. Page 20 just confirms what I mentioned to you earlier, the 50-50 split, it may not be 50-50 or it may be 60 in favor of industrial and 40 in favor of car. Slide 21 gives you a very brief pictorial update on where we are on the demerger process. The only thing that we expected to be completed which I think we’re well on our way is to receive notification from the Italian Stock Exchange of the emission to for the listing of the two companies. We’re going to execute the deed of demerger by the middle of December. And as of the 3rd of January, we’ll be looking at two companies trading on the Italian Stock Exchange. Page 22 which deals with is a fundamentally continuation of a slide that deals with our commitment to the environment. Not only are we the lowest CO2 emitters of any car producer but the commitment to sustainability which goes beyond emissions is something which we have won as an ambition across the roof and across all factors. And we were delighted that we were able – that we were assigned a score of 93 which is the second largest, the second highest score given to anybody in the automotive sector, I think the only people that beat us were BMW with a point difference and the average is only 70. It’s something that we will continue to do both in Fiat and Fiat Industrial. And I think just to reinforcement that the efforts that have gone in here in terms of building a sustainable business. I’m pretty well done. I’m going to pass it back to Mr. Auriemma to arrange for calls. That’s pretty well it.
Marco Auriemma: Thank you, Mr. Marchionne. Now we are ready to start the Q&A session. Monica, please retrieve the first question.
Operator: Thank you. (Operator Instructions) And we take our first question from Monica Bosio from Banca IMI. Please go ahead, your line is open.
Monica Bosio – Banca IMI: Yes good afternoon everyone, I would have three questions. The first one is regarding the first half of 2011, according to the recent statements the first quarter of 2011 would be – could be weaker than the first quarter of 2010, I could imagine that this statement refers to the automotive segment. I would like to have a confirm this, and I would like to know if the company believes that automotive segment, the performance from Brazil it could continue to upset the weakness in Western Europe. And you know in relation to this I was wondering if you, if the company is going to rescheduling the CapEx expected for 2011 in the automotive segment. And if you wish I could pass to the second question or, hello?
Sergio Marchionne: Yes, let me try and answer your question. I think it is clear that the first quarter of 2011, the first quarter of 2010 for the European car business was an anomalous quarter because it included the tail end of the incentive scheme, all cars that were registered by the 31st of March of 2010 benefited from the incentive scheme that was put in place for the whole of 2009. So you are going to end up with a first quarter of 2011, which is going to be substantially different in lower that the performance of that we’ve achieved for the first quarter of this year. But I mean whatever confirmation you needed I just gave you. What is unclear to us and I think we need to go for the numbers is to find out what possible benefit a strong Latin America market could have on the overall sectorial performance. And so we’re not ready to make the call now as to where certainly first half of 2011 will be I think we’re going to reserve those comments for the conference call that we’ll hold in January in connection with the 2010 results.
Monica Bosio – Banca IMI: Okay.
Sergio Marchionne: Now can I just – let me answer your questions. And the other question you’ve asked me was about Latin America offsetting Europe and the answer is obviously that usually that we need to examine. I think the sector in Latin America is doing incredibly well. We do expect that the Latin American market will continue to outperform Europe by a long stretch for a long period of time, I think our forecast for 2014 suggests that our Latin American operations we’ll be able to sell in excess of a million cars in that market by that time. And obviously that will have a significant impact on profitability of Fiat Group Automobile.
Monica Bosio – Banca IMI: Okay.
Sergio Marchionne: In terms of – can I just finish?
Monica Bosio – Banca IMI: Yes, sorry.
Sergio Marchionne: And then in terms of your third question on rescheduling of the CapEx. This is slightly more complicated question because there has been no willful act on our part to try and postpone CapEx on the Fiat Group Automobile side. Certainly not in 2010 although I think that decision was certainly implemented and executed in 2009. We have taken a distance from some of the projects because of the uncertainty associated with market performance. And so there has been no formal rescheduling of CapEx. I think there have been some projects that have been called into questions because of the performance of the European market and we were unsure as to whether some of these projects were wise or desirable in these market conditions. We have not stopped and we certainly have not postponed a single CapEx in terms of well Latin American operations. It has been a rescheduling of a particular model in Latin America which was driven by market needs and not by cash requirements. So overall, although there has been in the CapEx schedule for car, none of it has been driven by a desire to slowdown the business. What has slowed down the business intentionally, I think and not as a result of our involvement is the uncertainty that currently surrounds our projects of Fabrica Italia which involves the Italian plant. We have been able after the signature of the Pomigliano agreement, we’ve been able to initiate that investment program, that program is now sealed, it is being executed. We will be training people during 2010 for these cars to go into production in 2011. So we may have lost, we may have lost some time because of the delay involved in the approval by the workforce of the new agreement, but I think it was time worth waiting because I think it will significantly change the operating performance of that brand. We have remaining issues on Fabrica Italia vis-à-vis the remaining plants. Until those issues get resolved and until we find a way in which we can achieve our desire to be able to run these plants, we effectively ensure our right and our ability to govern these plants effectively and to turn them into competitive tools, I think we will continue to wait and sit on these investments until clarity is achieved. How long that will take is unclear. I think that we’re running against the clock on this one, I think that it is my sincere hope and it is my expectation that all these issues will be resolved by the completion of Q4 of this year.
Monica Bosio – Banca IMI: Okay.
Sergio Marchionne: Answer your question, sorry.
Monica Bosio – Banca IMI: Okay. And did you believe that maybe given the current situation especially in Italy, the company could begin to accelerate on a potential alliances with another partner in the automotive segment, in order to try to compensate the situation, or to do something because the Italian situation is very difficult, so.
Sergio Marchionne: Well I think I’m going to try and answer your – I’m not sure to finding an alliance with another partner is going to address the structural issues of the industrial framework, I mean Fiat already has a strategic partner in Chrysler. It has made the determination last year and it has effectively committed to jointly develop the car business on a global scale together with them. I am not sure that the Chrysler industrial presence know how architectural knowledge and presence in particular car segments, in and by themselves and given the fact that most of the production efforts that they have are NAFTA related. And those would be very, very helpful in trying to resolve an Italian issue which is so structural to this country. And I think that the big problem – the bigger problem that I have is that as a result of these opportunities that have opened up as a result of Chrysler in both directions between Chrysler and Fiat here in Europe and Latin America. And certainly in terms of Fiat being able to access the North American market, that all these delays that we’re encountering and achieving consensus on how to move the industrial machine forward made these opportunities maybe lost. And if they are lost, I think then Fiat would have to look at alternative ways of accomplishing the same end. Well I prefer not to deal with that issue until I have certain the fact that our efforts here will go in vain and I’m not sure I’m at that point today.
Monica Bosio – Banca IMI: Okay. I understand, just two quick questions. The first one is related to pension funds. Is it possible to have a breakdown of pension funds between Fiat Industrial and Fiat SpA post demerger?
Sergio Marchionne: Yes, you can do this with Mr. Auriemma offline. I don’t think there is anything nefarious on those numbers and I don’t have them here with me, but he will give them to you.
Monica Bosio – Banca IMI: Okay. And the second one is, it’s regarding Ferrari. Are you going to maintain?
Sergio Marchionne: You would like to buy one.
Monica Bosio – Banca IMI: I would like but I cannot afford, afford it.
Sergio Marchionne: We can do this offline too.
Monica Bosio – Banca IMI: Ferrari, do you believe that this target could be maintained?
Sergio Marchionne: Which target?
Monica Bosio – Banca IMI: The trading profit.
Sergio Marchionne: Yes, I have every fate in Mr. Montezemolo to achieve 18% margins over this business.
Monica Bosio – Banca IMI: 18%?
Sergio Marchionne: Not a single doubt.
Monica Bosio – Banca IMI: Okay, thank you very much.
Sergio Marchionne: Thank you.
Operator: Thank you. We will take our next question from Martino De Ambroggi from Equita. Please go ahead.
Martino De Ambroggi – Equita: Yes, good afternoon and good morning everybody. First question on results, you will likely approach this year your trading profit guidance for next year, your approach or achieve we will see. But is there any major non-recurring events that we should be aware of, which positively influenced this year’s performance. In my mind I have the currency impact from Brazil?
Sergio Marchionne: By the way that will happen this year, it will happen next year.
Martino De Ambroggi – Equita: Okay. Could you quantify it?
Sergio Marchionne: I can tell you. Yes, the total impact is about EUR50 million.
Martino De Ambroggi – Equita: Year-to-date, okay.
Sergio Marchionne: In the quarter.
Martino De Ambroggi – Equita: And year-to-date?
Sergio Marchionne: EUR190 million.
Martino De Ambroggi – Equita: Okay, perfect. And I also remember another non-recurrent event which is the fiscal credit cash in. Did you already cashed in?
Sergio Marchionne: I’m sorry.
Martino De Ambroggi – Equita: The fiscal credit concerning the strategy incentives and so on.
Sergio Marchionne: There is roughly a EUR100 million of uncollected receivables at the end of the third quarter, most of which are expected to be drawn down by the end of this year.
Martino De Ambroggi – Equita: Okay. And the follow-up question is on the strategy because you many times mentioned – you many times, the strategic flexibility of the new structure group structure. I know there are too many options to describe but what are your ideal scenarios and what absolutely not?
Sergio Marchionne: That’s a very difficult question to answer, I mean I can give you a sort of an vanilla, apple pie and motherhood answer that says that we will do everything that is designed to reinforce the business and therefore there is nothing on the restricted list that will prevent us from acting. And so I think the extent that we can create conditions or solutions that are value accretive to the business, in a sense they expand us their strategic capabilities, and I think we will look at them.
Martino De Ambroggi – Equita: All right.
Sergio Marchionne: Some of them are – if anything which is purely designed to achieve mass, indiscriminate mass with no reason is of no interest. If we can see a project that has got industrial validity in terms of probing the operating efficiency and performance of the business, we’ll look at it. But I have nothing on my list that is for both, I mean everything is doable.
Martino De Ambroggi – Equita: Okay, perfect. Thank you.
Operator: Thierry Huon from Exane has the next question. Please go ahead.
Thierry Huon – Exane BNP Paribas: Yes, good afternoon. It’s Thierry Huon speaking from Exane. A quick question on the debt situation, according to what you showed it seems that Iveco is carrying a really significant debt since the industrial part is free of debt on the CNH side. So could you explain why Iveco has such a high debt? And second question is about the inventories. You said that we are in a good position. Could you clarify what would be ideal situation in terms of inventories? Thank you. On the auto side of course. 
Sergio Marchionne: And by the way as a general rule anything that drives numbers below two months’ worth of supply I’d be happy with, I think the bells would go off if I hit that number. And so we’re well within limits. This would include dealer and company inventory. On the other issue about Iveco, I can give you my answer and Mr. Rossotto can you give you his, and hopefully they coincide or at least are concurrent. But one of the things that happen when you a run a group of this size is you end up paying distributable reserves and dividends out of the 100% owned entities and then the question of what sets this leverage within one – of the 100% entities, is something which is determined by whatever cash requirements sit up at group level. So the debt that sits in Iveco is not a reflective of the historical performance in the fact that it burns cash. It’s a fact that we have depleted the reserves, the statutory reserves that are housed that try and create the condition ultimately of more or less a 50-50 split. CNH is an independent entity. It is 90% owned by Fiat and therefore, it is not a 100% owned entity and therefore the ability to repatriate earnings with the distributed reserves backup to the parent is a rarely restricted. It doesn’t – we don’t have the same degree of latitude that we have with Iveco. And that’s why there is difference. And it’s not because of the difference in cash performance, it’s between the two sides. Do you want something to that?
Camillo Rossotto: Yes, the only thing I would like to add is the fact that this is also reflective of the fact that Iveco is being run under a centralized treasury operations under Fiat and now that you see it as part of Fiat Industrial I think you should consult more on the Fiat Industrial credit metrics as opposed to some of the parts of the operating entities underneath Fiat Industrial. And that’s why I think slide 19 is a good place to start where you would look at the EBITDA to net industrial debt above Fiat Industrial and Fiat performance would be very much self independently and self-supporting.
Thierry Huon – Exane BNP Paribas: Yes, I understand but if I have a bit more than EUR2 billion debt on the industrial side and with about EUR1 billion cash in terms of euro on CNH side it means that Iveco is carrying something like EUR3 billion net debt. So is not this a big burden to be flexible if you want to do anything regarding the truck?
Sergio Marchionne: No really, I mean to begin with I’m going to cut you off with the past before you start meandering through strategic options on the truck side. Whatever it is that you’re thinking about Thierry, at the end of the day it is going to be an easy calculation and debt is going to irrelevant, whatever you may be thinking about. All right, and so let me get you off that nickel and we’ll move on to something else but there is nothing that prevents Fiat Industrial from being able to support that debt level.
Thierry Huon – Exane BNP Paribas: Okay, so very last question about Iveco?
Sergio Marchionne: Yes.
Thierry Huon – Exane BNP Paribas: Would it make sense to go further with your Chinese partner, I mean instead of just having JVs with SAIC for trucks in China to have a complete motor of Iveco in SAIC?
Sergio Marchionne: Well I’d say well you know there as a large automotive conglomerate that has a variety of interest including a significant interest for both Volkswagen and with General Motors on the car side. So I’m not sure you’re talking about the whole of SAIC or just the industrial part of SAIC?
Thierry Huon – Exane BNP Paribas: No, just sure, to have Iveco merged with the industrial part of SAIC to have a fully integrated truck maker.
Sergio Marchionne: Well I think the answer to your question is that I think we’re getting to the same result by keeping the joint venture and operating at the way we are, I don’t think we will be benefiting very much because the activity of SAIC and the industrial side are pretty well concentrate on the relationship that they have with Iveco. I think that there is a piece of this which is outside of Iveco is influenced which is on the bus side. And that’s – those are discussions that we’ve had on and off with SAIC about how it is that we could possible interface and provide some additional strategic strength to that business. But once we remove buses I’m not sure there is much else left, so the question will really be one of selling Iveco to the Chinese and if that’s true then I think I don’t know why you would limit that question to just the Chinese. I think it becomes a much wider question and I think the Chinese may become an option but certainly not the only one. But just to be clear, I mean we are not in selling mode for the truck business. I’m interested in looking at projects that would increase the operating performance of Iveco by giving it additional scale, intelligent scale, I think the joint venture in China was the first step in expanding their reaches. Fundamentally only one market which is excluded from the reach of Iveco today and that’s NAFTA. And NAFTA we have not been present in. And so that’s the only one fundamentally remains as a geographic hole. And so this – how the Iveco story evolves is only that we need to be stay close, I think that we intend on growing the business and to strengthen it, but I have no preconceived notions about how that’s going to happen.
Thierry Huon – Exane BNP Paribas: And Chrysler – could Chrysler could be an answer to this issue?
Sergio Marchionne: Sorry.
Thierry Huon – Exane BNP Paribas: Chrysler could be the answer for this issue?
Sergio Marchionne: That’s a difficult question. I think we’ve toyed with the idea inside Chrysler about to what extent we could expand the Ram, the coverage of Ram brand with products that comes out of Iveco, I think it’s an interesting idea. I just do not know to be perfectly honest how far the distribution network of Chrysler will be able – to what extent the distribution network that Chrysler has will be able to deal with this customer base which is fundamentally different then a pure automotive distribution mechanism. There are some products that fit within Iveco that would make sense especially at the light end and perhaps some of the medium trucks out of Iveco would make sense to Ram but these are very initial thoughts. We need to spend much more time to find out what the real size of the opportunity is. And to be honest with you, I’m not sure that we need – that the US needs another truck manufacture. But having said this, and certainly not it would sort of different product line up that currently exist. I think we continue to work on the American option but I have no immediate solution for it today.
Thierry Huon – Exane BNP Paribas: Okay, thank you for the straightforward answer.
Sergio Marchionne: Thanks.
Operator: Brian Johnson from Barclays Capital has the next question. Please go ahead.
Brian Johnson – Barclays Capital: Yes, Sergio. I would like to dive in again to the relative contribution of Brazil, European autos and European LCVs. If we look in the appendix at page 25 at the price mix, can you give us a sense of what the negative was from price versus the pause in Western Europe versus the positive contribution from LCVs contained within that EUR15 million?
Sergio Marchionne: We’re going to look for the numbers, Okay? I don’t have it here but we’re going to look for it.
Brian Johnson – Barclays Capital: And maybe while you’re looking at, the second one is just could you remind us where you make your LCVs serving Europe and how those fit or don’t fit into the Fabrica Italia plants?
Sergio Marchionne: The LCVs for the most part are being – the largest portion of that of that offering is being manufactured in a plant which is jointly owned with Peugeot, Citroen and which runs in Italy. That plant has been performing well. I think we have had fundamentally no operational issues over the running of that plant that would require special intervention. I think the Fabrica Italia as a project was designed to deal in for our large parts with the automotive plants, the non-light commercial vehicle side. So our issue vis-à-vis that business is fundamentally, we don’t have an issue and we don’t have an issue in terms of being able to provide product of both acceptable qualities and in terms of dealing with demand peaks as we have been having in 2007 and 2008. So it’s a business that’s excluded and we feel relatively comfortable that its running well and there are no threatening issues on that side. The other parts of the business is being manufactured out of Turkey, and that’s being run for the joint venture that we have in Tofaş and again there are no issues operational issues that would put in jeopardy the ability to produce. So we’re fine, and it’s not a big issue. Now I’m being given a number here just to make sure that the LCV contribution to this sales, to this mix and volume story is about EUR15 million.
Brian Johnson – Barclays Capital: Positive?
Sergio Marchionne: Obviously.
Brian Johnson – Barclays Capital: Right. And so that means.
Sergio Marchionne: I mean so to understand is this is the most profitable business that we run on the light commercial vehicle side.
Brian Johnson – Barclays Capital: So when you made your comments about Brazil contributes all the profitability Western Europe unprofitable. Were you – well did you just mean Western European passenger cars or do you mean Western European including the proper contribution of LCV implying the passenger cars are even worse?
Sergio Marchionne: There are two contributors to the number which offset the negative performance of car.
Brian Johnson – Barclays Capital: Okay.
Sergio Marchionne: LCV and Brazil are both positive.
Brian Johnson – Barclays Capital: Okay, thanks. Thank you.
Sergio Marchionne: Yes.
Operator: We’ll take our next question from Ranjit Unnithan from JPMorgan. Please go ahead.
Ranjit Unnithan – JPMorgan: Hi, thanks for taking my question. It’s Ranjit Unnithan from JPMorgan. I just wanted to clarify some of the comments you made earlier on CapEx. So you originally set out to spend about EUR4.7 billion this year. It looks like you’ll end up a little under EUR4 million and you’re saying that some projects are delayed are not being looked at again but it doesn’t sort of impact your product investment plans. Now how does this impact your 2011, 2012 to the CapEx because it’s going to be a significant step up in the CapEx investment that you outlined in your five-year plan. So if I remember right it’s about 5 point – well at least on the auto side, it’s about EUR4.6 billion in 2011, EUR4.2 billion in 2012. So if you could help us think about those numbers in the context as how much you spent this year that would be great, and second.
Sergio Marchionne: Let me deal with that question upfront.
Ranjit Unnithan – JPMorgan: Okay.
Sergio Marchionne: Because I have a very short answer to you. I don’t have an answer for you in a sense that to begin with I think we should reserve any judgment or any update on 2011 and 2012 to the January call. Now just to be clear, it is highly unlikely that and that whatever it is that we have rescheduled, although there is a decision to not engage in a particular product development or to postpone the product development that those two things will combine to create an unmanageable bump in 2011 and 2012. If you’re going to see anything at all, you’re going to see a shift in the CapEx schedule on a permanent basis going forward. There is just going to be a rescheduling of the product interventions that will effectively take care of themselves by the end of 2014 but it will be not be in 2011 and 2012 (indiscernible).
Ranjit Unnithan – JPMorgan: Okay. So again just to clarify that point and I think the numbers that you put out for 2011, 2012 still stand?
Sergio Marchionne: As I mentioned in my opening remarks, I have no indication today that would suggest that we’re moving those numbers.
Ranjit Unnithan – JPMorgan: Okay, great.
Sergio Marchionne: I reserve the right to watch fourth quarter and to make the call in January of 2011.
Ranjit Unnithan – JPMorgan: Very clear. On Chrysler can you remind us in terms of – or at least your expectation on when you expect you’d take your stake up from 20% to 35%? So there were three sort of quantifiable metrics in terms of what you needed to achieve to get a 35%. Can you sort of help us, now that sort of we’re at the – close to the end of 2010 in terms of thinking when you’re likely to hit that 35%? And to follow-up to that is in terms if your incremental option where you can take an additional 16% in addition to the 35% stake. How should we think about that? Is that even necessary in terms of the industrial alliances and partnerships you’re doing today? How do you think about that especially once a demerger is complete?
Sergio Marchionne: Just in terms of the three events, I mean the three events to remind everybody is public information anyways, one is in connection with the launch of the Fiat 500 and the introduction of a particular engine in that car, which is going to be accomplished by the end of this year. The car will be in market in January 2011. So we will have the first 5% of the 15% turnout within Q4, Q1 of 2000 – Q4 of 2010 or the first quarter of 2011. The second event was the production of a 40 miles per gallon car. We’re going to be in a position to homologate the vehicle within 2011 and we expect to be able to accomplish the second portion of the earn out by the end of next year. The third one is something which relates to the international distribution of Chrysler products which are fundamentally relate to the Latin American operations that we have. Fiat is technically in compliance with that, with that requirement. The execution of that obligation is something which has fought with difficulties because of particular rules and regulations that govern the maintenance and the management of our dealer distribution network in Brazil. We’re now working with the parties including United States Treasury to find a suitable solution on replacement to that condition and all likelihood that condition will be at least in terms of certainty of detail will be resolved within the end of this year. And it’s my expectation that we’ll be able to trigger probably in line with the 40 miles per gallon car. So within 2011, we should get to the 35% number, I mean unless there are sort of barring unforeseen circumstances. The question about the 51% target and the 16% – the right to acquire 16%. I tend to agree with you that it doesn’t really make from an operational standpoint there is no added value from us acquiring the 16% and getting to a 51% position operationally. It may very well be that Fiat on the basis of its assessment of the ongoing profitability and prospects for Chrysler, it may consider to be that – it may consider that to be a wise investment. And therefore we will make the investment because of the inherent value generation associated with Chrysler. I can tell you right now that I’m not at that stage, I’m not even playing with that notion today. And I think that we need to be – we need to distance ourselves from that option until we get better clarity about what aid, what the capital structure of Chrysler is going to be on a permanent long-term basis going forward, including the refinancing of the UST and EDC positions which are lenders to the organization. And secondly, the timing of the potential public offering of equity into the market. These are things that are being examined by the Board of Directors of Chrysler. Until those final determinations are made, I think Fiat is in no position to respond to the options that will be offered.
Ranjit Unnithan – JPMorgan: Very clear, and if I can add just one question about the quarter, I think I know the answer to this but just to confirm, Iveco did better in a margin perspective in Q3 despite slightly weaker revenues on a quarter-on-quarter basis. What was the reason for that, I mean Europe was sequentially weaker. And lastly CNH, the guidance seems to suggest that margins and profits will be weaker in Q4 than in Q3, at least the CNH guidance suggests that. Is that just seasonal? Thank you.
Sergio Marchionne: This just to deal with the last question, I could be perfectly honest, I’m hard pressed to give you a straight answer on the seasonality in Q4 because historically that’s not the case. The fourth quarter of CNH usually is a very strong quarter. And so I think the way to read that statement in terms of guidance as to read the right level of prudent and the estimate going forward and I think we should leave at that and we’ll see what happens at the end of the fourth quarter. In terms of the Iveco performance, I think they are both biasing the numbers is the phenomenal experience, the phenomenal performance of our Latin American business which is offset which you refer to as the not so stellar performance in Western Europe, but I think certainly the margins that we’re obtaining from both the special vehicle side of the business and for the Latin American side are maybe the starting the margin performance that you’re talking.
Ranjit Unnithan – JPMorgan: Thank you very much.
Sergio Marchionne: You’re welcome.
Operator: We will take our next question from Stuart Pearson from Morgan Stanley. Please go ahead.
Stuart Pearson – Morgan Stanley: Yes, good afternoon. I just wanted to come back quickly to the first question on the Chrysler stake. If you were to decide within the next 12 to 18 months you’ve wanted to exercise that option for any reason. Is there any possibility to exercise that, it seem to recall that there are the master plan meant that that option was exercised with 13?
Sergio Marchionne: That’s correct. I am not in a position to exercise that option on 2011 unless there is amendment to the agreement.
Stuart Pearson – Morgan Stanley: But presumably there could be a discussion you have with the counter party there, that would enable that to happen?
Sergio Marchionne: Absolutely, I mean I think one of the things that remains fundamental with the Chrysler structure is the Fiat could never actually take control of Chrysler in the 50% plus environment unless the indebtedness to United States Treasury and EDC is paid off. So it becomes – it’s pretty well of a sort of an empty achievement in the absence of an ability to exercise those voting rights that until the debt position of UST and EDC is resolved. So that’s why the story is somewhat complicated.
Stuart Pearson – Morgan Stanley: Yes.
Sergio Marchionne: It is more complicated than it appears, I mean legally we are not even entitled to exercise the acquisition options. So let’s wait until we finish, until the Board of Directors finishes looking at this whole issue of capital structure, the right level of indebtedness, the source of funding that indebtedness, the timing of a potential IPO and then in the context of that assessment I think the parties would certainly do whatever is required to ensure that Chrysler has both stability in terms of a point of references a shareholder has access to capital markets and funding to ensure its long-term liability. That remains my first and foremost objective.
Stuart Pearson – Morgan Stanley: Okay, but if, and I’m not sure if that would be relevant but if you did exercise that option before Chrysler had an IPO, am I right to presume that it’d still be capped by the EV to EBITDA most of the (ph) Fiat SpA, which would be effectively the new Fiat Auto as of next year?
Sergio Marchionne: I think that the – the answer to your question is that I guess is technically yes, that to the extent that you’re moving to-date, I think that even that multiple maybe up for grasp. So I don’t want to comment on that issue. I think that this is part of a more complex set of negotiations which need to go on after the Board makes a determination of what it wants Chrysler to be in terms of capital structure. And I think we need to wait until that process is over. The Board is actively engaged in that process today.
Stuart Pearson – Morgan Stanley: Okay, my second question was on Fiat Industrial. Just going back to the discussion earlier between the debt on Iveco and CNH, but I guess while CNH is a publicly listed company, when we’re seeing balance sheets that debt is –that cash position is still going to remain at CNH, I mean is there any plan, that we should think about the near term to take away that minority listing or is that something that’s – isn’t something we should consider for the next 12 months or so?
Sergio Marchionne: I’m going to tell you nothing that’s going in statute to go out there and buy minority shares in CNH, I mean this issue has been festering for a long period of time. Every time I’m asked the question, the answer is no, I mean if it does happen there must be a real reason why we would want to take out the minorities. They were not doing this for a static reason. I think that we have established a proper mechanism of dealing with non-arms length transactions in terms of providing mainly engine services to CNH that continues to work well. And so it’s not as if we’ve got a – we have impediments for the transfer of goods and services between one side in the house and the other. So in the absence of a real need, I think that this becomes a much less important issue going forward than that may have been historically. The important thing for us was to group the industrial activities under one umbrella. And Fiat Industrial accomplishes that in.
Stuart Pearson – Morgan Stanley: Okay, and my last question was just to do with inevitably pricing I guess both in Europe and Brazil. Just in Brazil, I wonder if you could comment on the behavior of both the Korean parties given the lack of local capacity and currency benefit there and also GM who – we understand are being a little bit more aggressive in Brazil. And then on the European side, given the importance of product to pricing right now perhaps you could just elaborate some of the decisions to delay price – some of new product into 2012 for Fiat out there.
Sergio Marchionne: Just in terms of Latin American pricing behavior from the competitors, I think generally speaking I think the market is relatively disciplined and whatever you may have heard in terms of aggressiveness by some of the players maybe slightly over stated. I think – and so although we do see occasional aberrations in discipline I think that the overall market performs well. It is untrue on the Western European side where I think that people – some people have taken a much more aggressive view of pricing given the softening of demand in the desire to utilize infrastructure. We have resisted I think in both cases, both in Latin America and in Europe to engage in what we considered to be value destroying initiatives in terms of pricing. But it is a lot more frequent in Europe than it is in anywhere else, strangely enough our experience that Chrysler has been – for the main part especially in passenger cars we have seen disciplined and we have seen vigor and I wish that their level of discipline and vigor were available in the European market. There it isn’t, so we’re watching this very carefully.
Stuart Pearson – Morgan Stanley: Okay and on the decision to delay product, is that just taking a very bearish view on Europe next year which I don’t recall was the case in April, but.
Sergio Marchionne: I think that the European market regardless what you may hear from some of our competitors is going to be fraught with difficulties because of the demand supply mismatch. And so I think that those issues need to somehow be addressed. Our attempt at instituting the Fabrica Italia project was designed to deal with those anomalies by opening up this production assets to a relatively potentially strong export function. So in the absent of that agreement I think that they’re going to be left with managing a rump industrial assets on the Italian size which has got a relatively limited degrees of freedom going forward. So it is my sincere hope that the Fabrica Italia project does go to completion otherwise I think the fate of the industrial network here in Italy is threatened and something I sincerely wish we never have to face, but we need to work through the mechanics for those process with all the antics associated with the dialog if you can call it dialog. It is difficult. And so we’re playing this out very, very carefully. I think that timing is an issue. And I don’t see we can wait forever for this system to unblock and in the absence of an ability to resolve those issues, certainly those cars and those vehicles that are required for Western European consumption, we’d have to find a production home and we have others there available to try and take their place.
Stuart Pearson – Morgan Stanley: Okay, thank you.
Sergio Marchionne: Thanks.
Operator: Our final question comes from Max Warburton from Bernstein. Please go ahead.
Max Warburton – Sanford C. Bernstein: Yes, hi, good afternoon everybody. Just two quick questions from my side the first one, a concur productivity, Alfa Romeo. Sergio, you were on record I think at Paris saying look it’s not for sale. Could you just walk us through what this sort of financial logic would be, I mean is it right to assume – is it fair to assume that everything has a price and with Volkswagen obviously having cash in their pockets burning holes this is a discussion about price and not discussion about pride or national champions or logic on that side. Second question maybe this is strange to ask you this, but we’ve all had a go at thinking about what industrial is going to be worth and what auto is going to be worth post demerger. And what’s your view, what’s your view – what’s the view of your bankers? How do you think the value splits when these two things list in January? Thanks.
Sergio Marchionne: Thanks for the last question Max. Just to deal with the first part, I never want to sound like a mercenary or somebody who is a hopeless romantic attached to running businesses that has a better use elsewhere in the world. But I think we need to start off with a very clear assumption that we think we can run Alfa Romeo and that as a result of the sharing of architectures with Chrysler we will be in a position to provide the right product offering to the Alfa Romeo brand and then truly make it into as much as we can call it a premium brand but a more than just a mass marketing vehicle for distribution across the world. So that’s our objective, that’s our intent. The answer to your question is it everything for sale. If somebody would just show up with a number which is by definition outside of the boundaries of what we consider to be the achievable set of outcomes and successfully running the business, I think that Fiat would have to take care of very hard look at it. But and the view is that not for sale. I had been offered nothing, I think everything that you’ve read, that what people have said has been purely speculation there. So that’s not, I can’t answer speculative comments, but as a matter of principal and I think that there may be views, there may be particular point in time which may make it impossible to refuse an answer, I’m not at that stage so until I do the answer is no, it’s not there. The answer to your second question, it’s a much more difficult question because we’ve had a number of sort of what I call religious, sorry financial experts in here who have expressed their religious view of the intrinsic value of Fiat and Fiat Industrial. I’m not going to bore you with the litany of, declinations of those values that I’ve seen. I think it is fair to say that the – there are two things that – we’re not talking about the relative split to the values would be. I still think and this is my own personal view, it does not reflect sort of, don’t read this as sort of a Fiat excerption of the truth going forward. But there is still unexploited value in the current valuation of Fiat SpA which will eventually materialize as a result of demerger. And secondly that the extent to which that additional value gets expressed also depends in part, not in total but in part on the performance of Chrysler as an entity then stake and in our ability to turn that business around. So far subject to us advising the markets in November and still third quarter performance has been and what our expectations for the year are, we are – as I said we’re confirming guidance that we’ve given up to now and we reserve the right to upgrade guidance in the third quarter of this year based on the numbers that I’ve seen I think, I mentioned this on the second quarter call that its almost I think it’s probably unlikely that we will not have to revise guidance upwards and if that’s true, I think if the confirmation of the viability of the efforts that have been put a play here in terms of Chrysler and therefore its ultimate valuation and the impact on the valuation of Fiat is something that needs to be taken into account. So far to the market – for the largest part that have assigned a zero value to that enterprise. And I can tell you based – since I’m running the business that is not true. It is a value which is significantly greater than zero.
Max Warburton – Sanford C. Bernstein: Okay, thanks very much.
Sergio Marchionne: Sure, I’m not sure that I gave you a buying recommendation but certainly there are things that need to be analyzed in a lot more detail, I know you were skeptic at one point in time and I certainly hope you’re not anymore, but you were skeptic about the value of the Chrysler option. I think that whatever doubts you may have had and that – all of us were involved in under – in the Chrysler venture, may have had the beginning of the process, anticipated and I think that we’re looking in a much stronger future for Chrysler going forward and something that hopefully we’ll find recognition in the valuation of the IPO.
Max Warburton – Sanford C. Bernstein: Okay, am I still online? I mean just a follow-up on that, I think it was Ranjit’s question about – or Stuart’s question about going to 51%, I mean to value auto properly the market needs to be guided a little bit about how that might happen and what the cash flow from Chrysler might be, I mean is that something you would be able to lay out for us in 2011 or is it really Fiat Auto let’s wait till 2013 to really think about cash flow coming from Chrysler to Fiat shareholders?
Sergio Marchionne: I think it’s a 2011 event (indiscernible). And how that event gets articulated Max is may not be totally in line with what you’ve just said, but I think by 2011 we should achieve clarity.
Max Warburton – Sanford C. Bernstein: Okay, thanks again.
Sergio Marchionne: Yes.
Operator: That would conclude the question and answer session. I would now like to turn the call back over to Marco Auriemma for any additional or closing remarks.
Marco Auriemma: Thank you Monica. We would like to thank everyone for attending the call with us. We look forward to following up any questions. Have a good evening. Bye.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.